Operator: Good afternoon, ladies and gentlemen, and welcome to the conference call of Raiffeisen Bank International. Today’s conference is being recorded. At this time, I would like to turn the conference over to Mr. Johann Strobl, Chief Executive Officer. Please go ahead, sir.
Johann Strobl: Thank you very much. Good afternoon and thank you for joining the call today. You have already seen the 2020 numbers which we published last month. So, we rather focus on some of the details, and some additional initiatives which we started or implemented in the last couple of months.
Hannes Mosenbacher: Thanks for the introduction and for the nice handover when it comes to moratoria. To you all, thanks for participating and also a warm welcome from my side. And if I would review 2020, I think we -- as an RBI Group, we started with a very strong and solid portfolio in this pandemic situation. And the industry outlook we have chosen guided us very well towards the year. And just to remind all of us, RBI’s portfolio with the most heaviest impacted industry is 1.4% only. When talking about the most impacted one I’m talking about travels, talking about airports airlines. The second thing which was quite supportive for us is, and we finished year-end with an NPE ratio of 1.9%, having a very good coverage of 61.5%. So meaning, focus was on the existing business and not on the business, which was in default. Risk costs summed up to €630 million. Stage 3 bookings summed up to €288 million. And we made heavy use of the post-model adjustment, which were reduced with the first quarter in 2020. Ratings are being upgraded and updated. Moratorias are running off. And of course, we do a continuous review of all our industry allocations would lead us to giving the guidance on the risk cost of 75 basis points. Still a little bit above the long-term average or through the cycle and NPE ratio might slightly increase. I’m now on page 22, where you can see that the total portfolio increased by 7.2% to slightly over €200 billion. The biggest dynamic when talking about growth came, of course, from the liquidity inflow, the one which needs to be employed. We have done so with the central banks and by investing into sovereign bonds. In the Eastern European region, we have been quite heavily impacted by the depreciation of the local currencies, Russian ruble and Ukranian hryvna. And I move on to the page 23. Here, you can see on the lower left chart that total risk costs summed up to €630 million. Stage 3 bookings were €288 million. The two blocks on the macro and the COVID model adjustment, I would see together helping us to manage the potential future inflow and the €60 million on the lower left chart is being argued by new business and by rating migrations. Let me talk a little bit more about this post-model adjustment. You could say one-third of this €217 million are being allocated to retail. And also in the retail, we have followed an industry approach. We have, of course, also allocated a substantial part to the portfolio being affected by the moratoria. And we also still believe that some of the supportive measures have been taken away that we could have to one or the delayed default. That was the reason why we have allocated about one-third retail. Two-thirds are being allocated to non-retail. And the industries, the ones which I have continuously reflect and so it shall not come for you as a surprise. Well, it’s already announced by Johann Strobl, the moratoria and our first learnings because, of course, this moratoria was a complete new vehicle for us. It was difficult to assess what could be the potential default rates coming out of the moratoria. So what you can see that in the peak, we had €10.7 billion under moratoria. And currently, it’s summing up to €2.8 billion. We still have two countries where there is an opt out. And it’s the reason why the loans under moratoria are still summing up to €2.8 billion. Colleagues have provided a very fancy slide on the right-hand side, and I want to run you through. So, what we have looked at is asking ourselves what is the behavior of the client, three months after moratoria has finished. And talking about the households, you can see that with 92.5% of the clients, the perfectly reassumed honoring their monthly installments and obligations. 2.9% of them have asked for further restructuring. And of course, we are very supportive helping them. 4% -- 4.6% out of the full portfolio under moratoria laid-on after the three months. On the corporate side, the numbers are even more supportive. 98.9% immediately resumed their repayment, only 1% out of the €2.1 billion defaulted. This is summing up to €21 million. Page 25, you see the RWA dynamics, one could make the life easy in more than €78 billion in the beginning, it’s €78.9 billion in the end. So, let’s move on. I would like to clearly hint you to the dynamics where you can see on the second pillar, the net rating migration. So, we have done our re-rating exercise for the full portfolio. But, if we mitigate part of this uplift, we have conducted two securitizations. And the other heavy impact, of course, was the FX development on the right-hand side, summing up to again € 78.9 billion in RWAs. Well, -- and I think the last slide is so well-known to you that’s more for documentation before running you through. We would be more happy taking your questions and learning what is on top of your mind when it comes to RBI Group.
Operator:  Our first question today comes from Anna Marshall of Goldman Sachs.
Anna Marshall: Good afternoon. Thank you for the presentation. Two questions from me please. Firstly, on dividends. I wanted to clarify in terms of the potential additional dividend, once the regulatory ban is fully removed. Would that be the original 2019 proposal or something on top of it, say, a little bit more from 2020? And also what is the potential plan B, should the no additional distributions be allowed in Q4, i.e., would you consider increasing your payout ratio outside of the 20% to 50% range? So, that was the first topic. And the second topic is, I wanted to ask for a little bit more details of your 2021 outlook, in particular, in terms of revenue assumptions and AI? Thank you.
Johann Strobl: Thank you, Anna. Good to hear you. Coming to your dividend question, €0.48 will be proposed to the Annual Shareholder Meeting on the 22nd of April, and then the payout will happen, at least this is my plan on the 30th of April. This was the maximum what we could pay as we want to be in line with the recommendation of the ECP. We keep the €1 per share for the fourth quarter, assuming that the restrictions will end on the 13th of September. We already, last time, were prepared for such a development where we say we would need an extraordinary shareholder meeting. This is just one month of allocation and that it could be easy. But this -- it’s €0.48, and we keep the €1 per share. As regards to your second question, 2021 revenues. I mean, the elements, what we have -- the elements what we have is that in our assumption there is -- or so we have seen in Ukraine, an interest rate hike already, probably my assumption is that we won’t see significant rate hike, significant talking, not only in the size, but in the many markets where we are active in. So, let’s assume that the very positive impact can only come in 2022. So, what we need is in terms of net interest income, we need loan growth. You can use the starting point of Q4, which you, for sure, are doing. You are aware that in our model books, we have some hedges, which are which are running out. So, this might burden us by another €60 million. So, then you have a very good starting point. And probably mostly with loan growth, we’ll see the mortgage portfolio was keeping up nicely in most of the markets during the epidemic crisis, does not come as a surprise as people are improving their housing. But still, I expect with ending of the restrictions or the unsecured loan demand will rise again, maybe also where we saw a rather weak development in the usage of credit cuts. So, there are areas. When talking about the potential of loan growth, yes, I can say that at least our research is rather optimistic. I mean you wouldn’t be surprised that we see another very good development in Hungary, above 10% loan growth in ‘21 and ‘22. Czech Republic in the retail, again, 6.5% to 7%, Slovakia probably also above 6%, Bulgaria above 7%, Croatia, yes, they were hit up. Maybe this is not an area where retail will grow so much. But also Romania, it could be above 5% and in the year after even more. So, there, we also see good room for corporate loan growth. Serbia, maybe 7%; corporates, maybe more, Bosnia, maybe not so good, but still 3%; 4% Albania; 7% to 8%, Russia in local currency, everything was in local currency. Good above 10% in retail; corporate, maybe also close to 10%. And Ukraine, maybe not so much, still maybe 2% next year and in the year after up to 5%. So, overall, I think, at least the forecast for loan growth also, as said, maybe starting slowly in the beginning of the year is -- so outlook, I think it’s very good. And it’s -- the overall optimism, what we see from many sources when talking to people is also confirmed by research people. The other element is the fee income, fee and commission income. Here in Q3, I used this as a starting point, as Q4, it’s somehow seasonality. Of course, I expect another very good Q4 also in ‘21. But, if we look at it from a back of the envelope calculation, then I think the €430 million what we had in Q3 is a very good starting point for any thoughts. And yes, this, with some additional in the Q4 next year from seasonality or so, this also gives a good idea of where we should end.
Operator: Next question is by Benjamin Goy of Deutsche Bank.
Benjamin Goy: Two questions from my side, please. First, on asset quality, everything is that basically around asset quality was rather encouraging, whether it was loan moratoria. But, still you guide for slightly higher cost of risk this year, which is basically different to every other bank that so far gave a guidance. Just wondering why you are more cautious. And then, secondly, on costs, so, if you can also shed a bit more light on the moving parts going into 2021 after strong cost management last year? Thank you.
Hannes Mosenbacher: Well, I don’t mind being one of the only one. I was also in 2019, one of the only one who was talking about that we are late in the cycle. Unfortunately, I had to improve right. What is our considerations and our thoughts? They are not too complicated. The one thought is we have the 60 basis points, 55, 60 basis points would be a through the cycle assumption. Are we already yet again on a very benign credit cycle? Well, I doubt it. So, this was the one motivation for going a little bit higher. And the other one is, we still see unprecedented support measures. Is it short term work? Is it the tax authorities not collecting yet the taxes back in their name. So, I think we have still multiple dimensions where the defaults could increase as soon as these economic stakeholders are being back on the -- on stage. This was the one major thought. And this shall not impact the very positive momentum, what we still expect. But let’s be honest, for some of the industries, the recovery may take up to three, four years. Take, for instance, hotels in a city. We also have the one other structural, not to say break, but at least in maybe a hangover. Because we all have now learned -- you are being used to it, but all we have learned now to communicate via these different vehicles within the home office. So, there will come the one other adjustment, experts assuming that the home office and the office need may go down by 10% or 20%. So, it may take a little bit longer. I’m not anymore of the opinion that we see a big and very pronounced wave and immediate one as soon as the economic stakeholders are being back. But at the same time, believing that the economic drop, which is the sharpest one in some of the regions going back to 1945, is not being seen in any of the balance sheet, I think is also a very strong assumption. So, these were our considerations while we still believe that through the cycle assumption are maybe too positive. And believe me, I’m the first one who is very happy if we don’t need these risk costs.
Johann Strobl: If I may take over your second question, which is OpEx. I think here, it might be that we see a very small increase, 1%, 2%, difficult to say, because at some point in time, the currency fluctuation might have a bigger impact than what we can manage in euro terms. In most of the countries, in most of the countries, there is, I would say, a considerable potential for cost reduction. Some of it used this also for investments in digital. I tried in my introduction to describe that we are somehow refurbishing, redirecting our branches. Some we are closing. Closing does mean that in the year of closing, we still have some costs to get rid of rents and then end. But the overall, I would say, development is in context is still intact. And in terms of wage pressure, we also do not expect that there is too much pressure. It might be a 1.5% in the various markets, maybe 2% here and there. It rather comes from the digital areas from IT people who are sought after in most of the countries. But, this is somewhat a direction.
Operator: Next question is by Gabor Kemeny of Autonomous.
Gabor Kemeny: My first question would be about the Polish FX mortgage situation. I understand the settlements are not your preferred option, but it would be useful if you could comment on the potential costs from out of settlements with Polish FX borrower? And the second question on the Polish FX would be what kind of litigation provisions, how you think about the litigation provisions going into 2021, what do you factor in your forecast of a rising group ROE this year, when you say your group ROE will rise this year? And the final question, if you could provide an update on your hotel exposures and why it turned to about €900 million from about €1 billion in the previous quarter.
Johann Strobl: Thank you, Gabor. When talking about Poland, I -- you were so nice and gave me a broader range to answer your question. So, starting with settlement and my perception. So, frankly, my view is that in most of the cases, I would say, there was no wrongdoing when we or bank at that time, entered into the Swiss franc launch. And you can find, meanwhile, also many statements in Poland, which share my view. So, if you ask me, there is -- for many reasons, there wouldn’t be any need, any economic need for settlement. Because the way it was dealt with, but also there is no, let’s say, no problem in the area of customers. So, they are still performing. Yes, they are disappointed because of the Swiss franc, zloty development, but on the other hand, we always love Poland because of the overall positive development in the country itself. And over the many years, the income of the people also in zloty increased substantially. Now, but this, you might say, is not important at some point in time when being at the court. When talking about the court, I think we should not forget that all the discussions -- and this is my last reference to my general statement. All the broader questions which are now raised are only questions, which are applicable after the question been answered, was it fair or not? And here, as I said, there might be one or the other customer, which are -- and I’m not talking about our portfolio, but in general, which might have been misadvised or whatever you have, but not in a systematic way. I think, there are two guidances. And here, again, you have to make assumptions. The one is, what if for not good reasons, but to solve the problem, one might come and say, okay, the data flow was not the right one, it should have been the central bank rate you have to cover. So, this is 1 element of the Hungarian story. What you remember this might cost, if this would be applicable to all up to, I think, €200 million. If we use the KNF or the -- as I understand it, also PKO proposal voluntary settle under the assumption that from the very first day, this never had been a Swiss franc loan, but always had been a zloty loan with some assumptions on the on the rates, which then have to be used and the spreads which would bill out to be used, then yes, it might be up to, I don’t know, 40%, 45% of the outstanding loan, depending on the time when it was entered and some more details. And here also, the question is, is it for all, or are there some -- which would not qualify for this, maybe because they are rather in the commercial sector, owning several houses, flats, which are up letting or so. So here, it’s difficult. The 45% is -- should be the upper one. Could there be even more crucial warrants? I cannot imagine that someone says you got money, but you’re never going to repay anything. So here, I wouldn’t say. And I feel rather confident by the recent decisions, what we also had Supreme Court also handed by three judges. So, it’s not binding to the courts. So, this is the range looking forward what it is. As I said before, it would be difficult anyhow to accept that any other outcome, then Swiss francs, it is -- but it can happen. And this is the range what you said. When talking about the provisions what we had so far, we had -- I think we did around 40, €40 something million this year we added. So, we now have more than 80, €88 million or so. The number of lawsuits have been increasing in January and February. So, I don’t know if it’s fair to assume that you would even have to increase this -- this similar amount could be. But here, I think it’s difficult to make a forecast. Everything will come out from -- or will depend on the ruling of the Supreme Court. I think, this will clearly direct the behavior of customers if they want to see us or not and what they would have to expect. So, maybe when we have the next update call on the -- for the first quarter, we would have a better understanding. And to the hotels, I mean, I also invite Hannes to add also to Poland, but for sure, to the hotel portfolio.
Hannes Mosenbacher: I think the specific fresh cover you raised, while we have seen a change in the hotel portfolio, there are two reasons. Of course, as I said, we early on flagged that this is a very sensitive and an exposed, very-challenged part of the industry because of the pandemic situation. And the two reasons why we have seen a change is that one or two hotels defaulted, please let me not go into the details here, because it’s still -- there’s being secrecy but two hotels defaulted. We have put them in default. And the other one was that we have supported a financing and provided a facility, which then finally was not drawn, I think, also for obvious reasons. So, these are the two reasons the change comes, one from the default, and secondly that the liquidity facility provided was not used.
Gabor Kemeny: Thank you. A small follow-up on the Polish FX. What’s your net exposure to Polish FX mortgages now?
Johann Strobl: In Swiss franc, it’s €2 billion -- in euro terms, €2 billion.
Operator: Next question is from Simon Nellis of Citibank.
Simon Nellis: Hello. Thanks very much for the presentation. I’d like to focus back on costs and then risk costs. On the cost side, can you give us a little more details on the synergies that you’re expecting from the Equa Bank transaction? Is that mostly cost synergies, the €50 million? And does that include -- or is it incorporating the €8 million to €10 million from integrating building society? And over what time period do you think you’ll be able to extract those synergies? And are there any upfront integration costs that you’ll be booking this year. And then, for the group, I see that on slide 10, you’re saying you’re going to have cost savings of €20 million from TOM this year and additional €62 million by 2022. So, those also -- and then, the last one, you’ve got potential retail OpEx benchmarking. Can you give us more detail on those synergies -- cost reductions? So yes, basically, can you give us -- elaborate on the cost reduction plans that you’ve got?
Johann Strobl: The current assumption is probably different to one might expect when talking now about Equa than one might expect from a standard integration. So, when we started discussion, when we started due diligence, we had to a large extent, assuming that it could be cost, and there are good reasons for this because we have an overlapping branches and a couple of more things. So, different to the standard approach when analyzing the customer base, we got very optimistic on that. And we see a positive influence on both sides. So, Equa uses also some models in distribution, which we gave up because we never reached the size that it was worth to deal with it. So, selling via our agents in other products than mortgages. Mortgages, I think everyone in the country uses agents. But, there are some ideas. And also, as I tried to explain in the usage. So, let’s say, three-quarter of the amount mentioned could come from costs and one-quarter from sales improvements. The reason is also that we believe that we can use Raiffeisen or IT systems to deal with the products of Equa. So, maybe they look and feel, if we go in this direction, is slightly different for Equa customers. But if you look at the conditions of the elements of the products, all of these can be dealt with within the Raiffeisen system. So, integration cost out there, usually, what you say is slightly more than 1 times of savings. So here, we are also optimistic that it can be in this range. Some cost reductions will come from the integration of the , the guys in the Czech Republic, they were able to -- so they were the fastest one within the group to react to the pandemic home office stuff, and immediately, as I indicated, reduced the space and they can also do this so for . So they are . So I think here, in both areas, there is potential. Both integrations will happen in the course of the year. With , we are a little bit more flexible. So, it depends on the development of Equa, of course. And ING now also has a top priority, because here, the time, the clock is running, and we would love to get as many customers as possible. As the ING is a reference model, we will pay for each customer who arise in our bank but there are no impacts on integration in addition to this reference costs and -- referral costs, sorry. And so this is rather positive development. I hope I covered the question. Do you have another one?
Simon Nellis: I guess, the -- so the €50 million and the -- so €50 million plus €10 million, I guess, in terms of synergies potential. And then, just on slide 10, you also talk about potential from retail OpEx benchmarking. Is there -- can you quantify that a little more? So, you didn’t actually put a number or is that…
Johann Strobl: Sorry. You’re right. No. I think, the 60 -- what I mentioned, the 62, what I mentioned, this is already a combination of -- let’s put it that way. The 60, from cost management perspective, from a management perspective are well analyzed, I wouldn’t announce more at this point in time. But as I said, some of this is we have a couple of very good ideas is to be invested in digital as well. So, it -- as I said before, it will not immediately lead this year to the drop in the costs, maybe also not fully next year, but it will come soon there.
Simon Nellis: Okay. And then, just one last one on risk costs. Can you kind of provide an outlook on which division might see higher risk costs than last year? Where are you kind of worried that the risk costs could be higher? And which markets do you expect it to be kind of similar or even lower? That would be helpful. Thank you.
Hannes Mosenbacher: Simon, what helped us very good was not so much talking about the different regions. So, it was more about talking different industries. And of course, then depending on the country mix, you would have the one other country, which is more heavily exposed to tourism, of course, heavily impacted, PG, Croatia and the other ones which are heavily more intensively focusing on manufacturing, they might be less impaired in or inflated by a higher risk losses. Not talking about inflation at all here. So, the country by country, I would not be willing to do. But on the segments, I think we see very good demand on the market and investment banking. I would not see any reason for assuming elevated risk costs. We have it on the page 32 still that you can see the most impacted industries with moderate-to-low rated customers, it still sums up to €1.66 billion, even after the first big wave of economic deterioration. So, this, of course, is obviously corporate. And I still put the question mark on some of the moratoria, as you have seen, some 5% of clients were asking out of support or 7% in total, and 4.9% of them are defaulting, still waiting for the other two countries that moratoria are finishing. So, it would be two segments, retail, less pronounced, but still also on the corporate, the ones which we called most vulnerable corporate customers on page 32 in the specific industries, which, for me, this is important to add here is, if we look to the total portfolio of RBI Group, of course, is a rather small dimension.
Operator: Next question is by Alan Webborn of Societe Generale.
Alan Webborn: Firstly, following on from your -- the last question. 4.9% of retail loans within moratoria defaulting looks maybe a little bit higher than we’ve seen in some other companies so far. What’s the sort of the general shape of that? Is it more unsecured? Is it particularly skewed to one market or another? Can you just give a little bit of granularity on that? Because sometimes, we’ve seen examples of it being a little bit lower than that. So, that would be my first question. I think, the second question is, in this sort of overall group benchmarking of the retail efficiency, and you’re talking about, I think, unquantified impacts, but 20% in 2021 and then a further 80% in 2022. So, presumably, you have quantified that. And I just sort of wondered, I mean, have you seen your -- any initial views of just how inefficient your retail franchises are, because presumably, if they were very efficient, you wouldn’t be doing the benchmarking. So, I mean, can you give us some idea of the scope and the potential there? That would be the second question. The third question, I mean, you talked about margins stabilizing. Do you think Q4 is a level that you can maintain your net interest margin at? That would be the next question. And then, two other questions. Firstly, as the push to digital continues, I mean, are you able to charge for these services, or actually are they taking fee opportunities in a way away from you, and it really is all about cost cutting because you can run it on a lighter structure. So, therefore, the question is, is digital a fee generator for you, or is it a cost saver for you? That would be the -- one more question. And then, finally, on trading income. And I think, the full year -- I know it’s a difficult topic, but you made quite a decent number in your trading and fair value result, nearly €100 million, I think, in 2020. I mean, what should we think? Is there an underlying level that you can maintain, or is it simply a function of markets? And so far, I think this year, it seems that market conditions have been quite good. So, I wondered whether you had any thoughts on that. Thank you.
Hannes Mosenbacher: Alan, you gave us quite a list of good questions. So, this one, keeping us busy and the team is heavily working. So, on the risk cost, if I may start, of course, it’s obvious what you anyway, more or less, you gave me already a part of the answer into your question when talking about what sort of products have been more impacted. Yes, indeed, it was the personal loans. And let me talk a little bit more on this. So, what we have seen is that our collection team has really done a very good job. And I’m happy to hear that we are doing better compared to some of the other market participants because we have started contacting the client early on before we even -- the moratoria was close to be finished. And we tried to find good solutions, restructuring upfront and not waiting for the finish line of the moratoria. And why I’m so confident saying this is that if you look on the typical metrics what you look on things like this, it’s the 30-plus, the 60-plus and the 90-plus, meaning how many people have been in a rare within the first 30 days and then with the different time buckets, we have seen that we were capable to manage down this theme in arrear quite nicely because, of course, our clients, we had them put back on a regular repayment schedule. So, you also could say, well, part of them have not been used anymore. But, this rate was very low. I was really happy that this rate was very low. But of course, personal loans have been more affected than mortgage loans than in the others when talking about the region. Who is still in the moratoria? It’s still Serbia and Hungary. So, when talking about finishing of the moratoria in the regions, I’m talking about -- and that we have really also guys available talking about this is in Slovakia and Czech Republic. So, my statements would go to for those two countries, as I said, to repeat myself. We had a very good and strong collection process starting very early before the moratoria finished. That’s the reason why we have included. Yes, indeed, it is more personal loans have asked for restructuring into our stuff to people. But for me, as I said, the magnitude by itself I would even flavor positive.
Johann Strobl: Thank you, Hannes. Moving to your next question. The €62 million to avoid any confusion comes from closing branches. So, this is a reference to the 300 branches, which was also indicated in the presentation. As I said before, this is -- you will see it in the numbers only in 2022. I think, it takes some time to get out of the agreement and to adjust and execute it. As the other part of your question was referring to this benchmarking exercise. So, I think here, it’s always the question how much of the -- how many of the people in a branch or much broader in the sales especially in retail sales are real sales function, so advisory selling and who are in enabling functions. And enabling function means all this paper stuff or whatever you need. And here, I indicated that we have quite a lot of digital, smaller, bigger, whatever, elements in the making, and each of them will reduce a little bit the need for such enabling functions. And as it should also be pointed out, the real testing, new management style in the branches, so that people rather organize themselves and there is less management required. So, it’s also take out of some management layers. So, this is -- this exercise is ongoing. We have -- and of course, we have an idea also internally when we look at our numbers. But yes, you would also look at competition as good as it gets. And as I fairly said, it’s -- we see room. We see room at a little bit -- the amount will be clarified in the -- one of the next calls, what we have. But, it should be at the size of what we communicated from the branch closer, maybe. So, this is the indication. But again, the impact such transformation takes time, the bigger part of it, you will see more in ‘22 than already in ‘21. As far as your NIM outlook is concerned, yes, as I indicated, the NIM is one element, which is also driven by the structure. How much over liquidity do you get and how to employ it. So, here, it’s -- probably this question is more difficult than talking about the NII, where I tried to give a clearer focus. I mean, it’s always a question, how much do you invest in customer relationship by accepting deposits, which in these days are in some of the markets, a cost driver. So, you can perceive it as to some extent, also as acquisition costs, but will probably pay off soon. So, this is -- I assume it’s stabilizing, but with these elements, what I have given to you. When talking about digital services and fee generation, yes, there are also some ideas. I think here, it’s always -- as I tried to indicate, it’s a mixture. Probably, it’s like the competition as well. You offer services, which increases, improves the digital acceptance where the service per se is not really the cost saver directly, but indirectly, it supports the end-to-end automation and then indirectly, it contributes. Yes, there some services are offered where you can get fees, but it’s -- one answer to this question, given the product range is not enough. But, I think, there are some -- let’s say, some projects ongoing, which, of course, will generate also business. When talking about trading, I mean, this is -- I am aware that this is difficult to understand what comes from group treasury activities, like hedging of participations -- of hedging some of the participations. And you are aware that we did throughout the year hedging on the Russian participation, we might do in one or the other market also some hedging where probably the costs are not as high as they are in Russia. The trading income, what we have from our markets is we are not big position takers is probably in the range of €20 million per quarter or so. But, yes, again, it depends on -- it’s volatile and fluctuating. But, I would at least say, it’s €20 million per quarter.
Operator: Next question is by Riccardo Rovere of Mediobanca.
Riccardo Rovere: Two or three, if I may. The first one, I want to just get back really to the first question of the Q&A session on the payout and dividend. If I’m not mistaken, your aspiration is, okay, to pay the 0.48 now, okay? Then €1, which is deducted from the capital at the moment to be paid before the end of the year, if I understood it correctly. And then, eventually, something in April 2021 related to the earnings of 2022. I wanted to the earnings of ‘21, sorry. I just wanted to be sure I understood it correctly. And if that is correct, I was wondering whether you had chance, opportunities to discuss these aspirations with the ECB? This is my first question. The second question I have is on the risk-weighted assets. They have gone up a little bit in credit risk, despite the book, if I’m not mistaken, it’s fairly stable. Should we assume that 2021, we should not see too much of negative rating migration and something has already been taken in 2020? And the third question, and third question I have is on the Polish situation. Do you think whatever the Supreme Court will say in few weeks, is that going to be the end of the story, or is it going to drag on for longer?
Johann Strobl: Thank you, Riccardo, for these questions. If I may take the first one, yes, we talk with ECB on -- about our plans on dividend payments. Yes, they were not negative that we pay out €0.48 on the -- I still assume the 30th of April this year. They are aware that we have these plans to pay out €1, if possible, in Q4. This is the current plan. You are, we are aware that they have some exercises which we have to consider in Q4, like they do this stress testing and whatever. And they -- yes, it’s a couple of months to go till the Q4. And we will have to align it again with them under the current circumstances, I would say. I don’t know if they drop everything and what the impact they have, this rep and whatever discussion. So, it was put to rest, and I don’t know with what they will come. But under -- if it’s like-for-like, then given our plans, what we discussed with you and the 13% CET1 ratio, and then I would assume that it’s based on our agenda till the fourth quarter. I also take your third question, Poland, before I hand back to Hannes. For me, the decision by the Supreme Court is one which gives direction to six potential questions, which are broadly discussed in Poland, in the legal community, which are also dealt with in courts in the first instances. And I think it’s very good for Poland and the court system that now in this big chamber of the Supreme Court, we get this direction. And this will make life easier for the courts and probably also for customers. What I understand from this is that still customers will have to sue in every single case. So, as I said before, we have not seen that the current proposal of PKO or KNF, this is only a voluntary settlement that is given the experience which we had from the -- also from the recent past it does not remove the uncertainty. And therefore, for us, it’s not so appealing then for others to presume something. And based on that, it will track on a couple of years. How many questions will drag on? I don’t know, if the court is very clear already to some of the questions or not. I mean, a fast solution only would be, as we have seen it in the neighboring country a law. But there is no indication at all that that the country is willing to do so. And probably, there is no need for it as overall -- it’s not an economic problem or a social problem in the country. It’s a problem for banks and a relatively small number of mortgage, Swiss franc mortgage borrowers.
Hannes Mosenbacher: Riccardo, thanks for your questions. You’re right that we have been quite pronounced already in 2020 by employing the rating methods to the extent possible. And I know that anyway, all of you -- most of you know how our rating modes are being built. We have a quantitative feedback, and we have a qualitative feedback. Of course, we still have to wait before the full year financial numbers are being shipped in. But at the same time, on the qualitative side, we already have adjusted our ratings to the extent max possible. Nevertheless, I think, the incoming financials still may cause maybe some uplift on RWAs of €1 billion, €1.5 billion, €1.6 billion. So, this would be my best guess assumption. And you see that we have done our homework in our calculus. So this is what we assume as of today, which could come off the -- adding in the financial numbers to the downgrading €3.5 billion already have been conducted. And the second thing -- or €3.9 billion, and the second thing is we had -- we finished a new sovereign rating model where we found approval, and this will also cost rating up an RWA uplift of about €1 billion. So, this is the numbers. And I keep all the other things where I could know, of course, easily make you dizzy talking about organic growth, nonorganic growth in it. But purely focusing on the downgrading -- on the rating -- RWA dynamics because of downgrades, I would assume, as of today, somewhere around €1 billion, €1.5 billion, and having a new rating model approved and then being also introduced an employed. This could also cost about €1 billion of RWAs uplift.
Johann Strobl: Thank you, Hannes. I take one -- sorry, Riccardo. You have an additional question?
Riccardo Rovere: No, no, no, no. I was just thanking you. No problem. Thanks.
Johann Strobl: Okay. Thank you, Riccardo. So, there was one question from the webcast, which rep count, which we replied, what is the number of legal cases now? What is the strength in new cases? What is your current legal provision coverage? So, what we have currently in our branch in Poland, the number of cases is around 4,200 in -- January and February, the number of new cases was increasing. So, last year, we had -- in Q4, we had an average of around 160 cases per month. This increased in January and February to 240. So, we see an increasing number and the provisioning level for the court case is around €89 million. Yes, usually, we build a provision if we lose a case in the first instance. But, yes, it’s an increasing number. This I wanted to state. Give me one more moment. I have to look at the numbers. So, the provisions on the -- when taking the full outstanding amount, what you can easily calculate is around 4.4%. So, as we dealt before, it’s €2 billion portfolio. So, if you took it on the overall portfolio, and if you want to assume the loss rate on the exposure, which is built by the model and the court rulings and the around 40% of the disputed loans.
Operator: Next question is by Andrea Vercellone of Exane.
Andrea Vercellone: Good afternoon. Just going back on costs. So, your guidance was for 2021, 1% to 2% up, which, to be honest, surprises me a lot, i.e., is too high. I say this, considering that average exchange rates are significantly lower right now than they were on average last year. So, that’s point number one. Then, I understand that you had a number of cost cutting initiatives. I appreciate most of the benefit is in 2022, as you’ve said. But, it’s probably not zero for 2021. And attached to this, I’d like to know if the guidance is on the same perimeter, or its gross of the Czech acquisitions.
Johann Strobl: Thank you for your questions. I think, one has to consider when comparing with ‘20 and ‘21 -- you are right. The FX rate wasn’t on our side and in terms of cost of revenues, unfortunately. And you’re right, if you say let’s assume that the FX rates are rather stable throughout ‘21, and why doesn’t this benefit a little bit more? Yes, we’re talking -- if you look at the big driver and the big FX development, it’s about one quarter what we’re talking. And we have to say that in the in the second quarter, our spending in advertising and some others was really low. And I think, given the uncertainty at that time and the reduced sales initiatives and people not moving, this was right. But, we should not continue like this. This would rather hurt. So, this is the combination of, yes, it was one quarter, which was at totally different FX rates. But, I think the rest over the year was then, at least to my memory is rather stable. And I wouldn’t see so much windfall on the cost perspective. Yes. And as I said, the branch closure and a couple of more things like all these initiatives coming from -- it takes some time to implement. So, we will see not so much this year. This is the other explanation. And some ongoing investments also in digital, because first you invest and then you harvest.
Andrea Vercellone: And on the perimeter, does the 1% to 2% include the extra costs from acquisitions in Czech Republic or they come on top?
Johann Strobl: No, no, they come on top. This is rather the like-for-like. So, the revenues and, of course, costs will come on top. And this is -- yes, this integration cost is simple.
Operator: Next question is Olga Veselova of Bank of America.
Olga Veselova: I have several remaining questions. One is a question about your geographical preferences for growth. So, I see that the Eastern European segment again had the best profitability. But, given the share of the region in your total assets and in your total risk-weighted assets, do you think there is room for growth of this region in your total group assets and risk-weighted assets? And your overall -- your cap, how much of your risk-weighted in this region account? So, this is my first question. My second question is a clarification on your higher cost of risk for this year than last year. Sorry if you said that, I just wanted to double check at this additional cost of risk, in your view, would come from provisions on stage 2 loans or stage 3 loans. So, what exactly -- where exactly is the source of this additional provisioning. And this is quite clear that a bank is guiding a growth of cost of risk year-over-year. And my third question is about Poland. Again, as far as I understand, conversion remains not your base case participation and conversion. If you continue to add provisions as you did in the previous quarters, shall we calculate them for this year or next couple of quarters, pro rata to the growth of your court cases versus previous quarters? Thank you.
Johann Strobl: Talking about your first question, and I have to say that the line was rather not so good. So, please interrupt me immediately if I -- if you see from answering my question that I got it wrong your question. But what I understood is your question, how willing are we to increase the RWA share in -- from Russia, and Ukraine and Belarus.
Olga Veselova: Yes, correct.
Johann Strobl: I understood you said in Europe. So, I mean, when looking at the countries, so for sure, Russia is the biggest one. We had a nice growth in local currency. And we did see not so much in euros. If we assume a stable currency we are fine with a decent growth in Russia. So, not a problem at all. There is some volatility, but our statement that we expect somehow a stable portion of RWA from Russia is not the point in time, but it’s something over time, and it’s allowed to fluctuate substantially. In addition to that, I have to add that for ‘21, as I tried to outline when talking about revenue perspective, I don’t see little -- I would like to see more loan growth in Ukraine, and the teams are working hard to get the sales machine running. But, the overall perspective from forecast is just 2% to 3%, so less than what we see in many other markets. And Belarus is a very specific one. They are going through a difficult period of time. There had been quite a lot of liquidity restrictions within the country. So, it will be difficult to add substantially there. When talking about your third question, provisions in Swiss franc, as I said before, it’s -- I mean, getting quarterly right indication, as I said, we need a first court instance ruling to build provisions as -- we have to say that recently, different two or three years ago, for whatever reason, I don’t know, court decisions turns more negative against banks than it had been. It was more balanced a few years ago, maybe some misunderstandings of the ruling of the European Court of Justice or whatever, maybe. I don’t know. I shouldn’t speculate. So, it depends on the inflow, but more also, it depends on how fast the courts can work. And so I assume it might be similar to last year. We’ll see, maybe slightly more. I don’t know. And now, I hand over to Hannes.
Hannes Mosenbacher: Well, thank you, and again, for giving me the opportunity to be clear on the risk costs. The 75 -- they’re around 75. For me, having now 68 basis points as we have finished this year or 75, this comes into the same category or level. Just one bigger default would make a difference. We have left out any concentration risk or bigger defaults in 2020, which I’m very happy about. So, where does the risk costs mainly come from in 2021. We rather believe it is a question of the stage 3. And I may give you a couple of thoughts on this one. One would be that, of course, we have done modifications and you could say it’s a forbearance measure. But if we see a second forbearance measure, we immediately have a technical default so to say because 2 times having forbearance measure means immediately being on the nonperforming side, and then you have, of course, to demonstrate a different way of coverage. So that’s the one thing. That’s the reason why we believe it’s more on the stage 3, but it’s also the reason why in the financial year 2020, we made heavily use of the post-model adjustment to have this potential future inflow, partly at least covered. This is the way of thinking. So, more stage 3 this time, also on the timing of the stage 3 as soon as, as I said, as the different economic stakeholders, ease -- the tax authorities are being back in the market and start recollecting taxes. And then, we will see an uplift. I’m not saying a soaring uplift but an uplift in defaults, because please remind ourselves that in 2020, the default rate and inflow was much lower than in normal years.
Johann Strobl: Thank you, Hannes. There was a question in the webcast from -- about  and Austrian deposit insurance where RBI could also be part. The question is, what is the progress, as there are discussions well-known in Austria? I would say, it’s not fully done but there is good progress, and I think the applications are on its way. As it’s not final, it’s still guessing, but it’s on a good way.
Operator:  Next question is by Johannes Thormann of HSBC.
Johannes Thormann: I have two follow-up questions, please. First of all, on the risk costs, when do you expect the peak in NPLs to be reached this year or next year or even later? And in terms of your composition of the provisionings between stage 1, 2 and 3, is it your assumption that stage 3 will be probably 75% or more of your risk costs, or how should -- would you justify additional stage 2 provisions? And just on the DPS follow-up as well. 20 DPS was now already 21% payout ratio. You guide for 20% to 50%. So, this was quite normal. Would you consider in the future to change your payout ratio to more tighter and higher level?
Hannes Mosenbacher: Johannes, if I may start there, you saw our strong belief is that NPLs and NPEs shall peak here by 2021. Do not nail me down if it’s in Q1 2022 because we all know that there is quite a dynamic here. You see the different measures, lockdown, lockups and so and so forth. But this would be my current assumption on where we shall see the peak when talking about it. The first and the second thing on not using -- or what using reformulate for me, where we would see the biggest changes, I still believe also that based on our growth assumption, we would still see something on the stage 1. The second one is that we would also see partly because of the rating migration something you could say in the usual stage 2 categorization. Yes, you’re right. Post-model adjustment is maybe not anymore the flavor of that they, could be because we see so much of these different lockdowns, yes, could be the one other industry. It’s called -- one of the shopping malls where you still could consider some of the adjustments and the biggest part shall come from the stage 3.
Johann Strobl: Coming to your second question, dividends, yes, the range is broad. And you see that we are at the lower end of the range improvement in ROE, less inorganic opportunities, more clarity from the supervisors, the three elements, I would say, I expect that it comes maybe already in the course of this year.
Operator: Next question is from Simon Nellis of Citibank.
Simon Nellis: Sorry, just one last technical follow-up question. When do you think the Equa Bank transaction will close and when will you start consolidating it? Thank you.
Johann Strobl: Yes. I hope it goes fast. Second or third -- Q3, I would say, I hope the closing is.
Operator: Next question is from Thomas Unger of Erste Group.
Thomas Unger: Just on -- you’ve been quite active now in Czech Republic and acquiring assets there. Just going forward, in a comfortable position with your capital ratio, do you have appetite for further acquisitions in the region, where in the region? And what could be the size? Could they be bigger than the ones that you acquired in the Czech Republic? And when you talked about the Czech Republic, you mentioned that ING -- bringing the customers over from ING to Raiffeisen Bank is a top priority right now? What is the assumption that you’re working with? How many customers do you assume to come -- to be added to Raiffeisen Bank?
Johann Strobl: Yes. We are looking for other M&A transaction as well. I think I shared several times a few countries, what we like is Czechia. It could be Romania. It could be Serbia. I don’t think that in Hungary we would find something, also we would need to get something. Maybe there is now an opportunity in the corporate area in Hungary. There is no big need, but Slovakia would be also interesting. So, these are the core markets. Could we imagine also a big one if it fits? Yes, but probably not a transformational one, if I might quote your CEO. There is no numbers in terms of customers at this point in time from ING. But, let’s talk in six months.
Thomas Unger: Okay. Just coming back to the M&A question. Is there anything imminent, anything in the pipeline right now?
Johann Strobl: Here, we should not comment. Sorry.
Thomas Unger: Thank you very much.
Operator: As there are no further questions at this time, we will now conclude today’s conference call. Thank you for your participation.
Johann Strobl: Thank you very much for your time, for your many questions. It was again challenging for us, but it keeps us on the right track. Thank you. Have a good day. Stay healthy.
Hannes Mosenbacher: Thank you. Bye. All the best.
Operator: You may now disconnect.